Operator: Excuse me, everyone. We now have Tom Baker, CEO of FRP Holdings, Incorporated in conference. Please be aware that each of your lines is in a listen-only mode. At the conclusion of Mr. Baker's presentation, we will open the floor for questions. At that time, instructions will be given as to the procedure to follow, if you would like to ask a question. I’d now like to turn the conference over to Tom Baker. Sir, you may begin.
Thompson Baker: Good morning to you all. As mentioned, I'm Tom Baker, CEO of FRP Holdings and with me today are John Milton, our CFO; David deVilliers, our President; and John Klopfenstein, our CAO. Before we get into our results, let me caution you that any statements made during this call that relate to the future are by their nature subject to risk and uncertainties that could cause actual results and events to differ materially from those indicated by such forward-looking statements. Additional information regarding these and other risk factors and uncertainties may be found in the Company's filing with the Securities and Exchange Commission. Net income for the fourth quarter of fiscal 2016 was $1,957,000 or $0.20 per share versus $2,071,000 or $0.21 per share in last year's fourth quarter. Total revenues were $9,776,000, which was 9.9% increase over last year. Cost of operations increased 7% from last year. Consolidated operating profit was up $520,000 this quarter which was up 13.7% improvement over last year’s fourth quarter. Revenues for fiscal 2016 were $37,457,000 which was up $2,811,000 or 8.1% improvement over fiscal year 2015. Income from continuing operations for fiscal 2016 was $12,024,000 or $1.22 per share versus $6,093,000 or $0.62 per share in fiscal 2015. Fiscal 2016 included a gain of $0.43 per share from a land sale of $6 million and $1 million from an environmental settlement associated with our Riverfront project. Now let me turn the call over to David deVilliers to walk us through the results of our three operating segments.
David deVilliers: Thank you, Tom and good day to those on the call this morning. I will now take you through our results for the fourth quarter of fiscal 2016. We enjoyed another successful quarter in both of our income producing segments and our development segment was busy further preparing certain non-income producing assets for income production. The real performer in this quarter was the Mining and Royalty segment. Due to a combination of increased royalty rates and tons sold, revenues were up in this year's fourth quarter over the same period last year by 21.3% or $357,000 to $2,037,000. These increases resulted in operating profits of $1,866,000, including the $207,000 benefit from the reallocation of our corporate and management company expenses. As a result, operating profits increased 48.7% or $611,000 over the same quarter last year. We believe that volume increases from our locations will be the norm for the foreseeable future as construction activity in Florida and Georgia continue to improve. Relative to the Asset Management segment, rental revenues from our building platform for the fourth quarter were $7,323,000, up 5% over last year's fourth quarter while net operating income was $5,627,000 up $310,000 or 5.8% over the same quarter last year. These results were primarily due to the acquisition of the Port Capital building in Baltimore in October of 2015 and the acquisition of the Gilroy Road building in Hunt Valley, Maryland in July of 2016. We ended this quarter with total occupied square feet of 3,486,681 square feet, an increase of 223,716 square feet or 6.9% over last year's fourth quarter. So as of 9/30 occupied square feet was 89.9% and our leased square footage was 95.9%. Relative to renewals and our success rate there were no lease expirations during the fourth quarter. As it relates to same-store, average annual occupancy was down by 12,470 square feet or 60 basis points to 90.2% at the end of the quarter as compared to the same period last year. Net operating income for the same period was down slightly to $4,998,332 from $5,008,643. And finally, to our Land Development and Construction Segment. As I've stated previously, this segment is responsible for seeking opportunistic purchases of income producing properties and managing and developing our non-income producing assets into income production. Thus this segment generates minimal revenues, but incurs significant costs to accomplish these objectives. This segment is the main driver behind our growth. To this end, we spent a net $4,134,000 and an extensive amount of time during the fourth quarter on capital projects in this segment towards; one, construction of a 103,653 square foot building in our Patriot Business Center, of which 52,000 square feet is now pre-leased with a scheduled completion during the fourth quarter of this upcoming fiscal year; two, reconstruction of the bulkhead along the Anacostia River at our Square 664E property in anticipation of a future high-rise mixed-use development, similar to our Riverfront project which is located several hundred yards as the crow flies up the River; three, working with our joint venture partner on the management of the ongoing construction of Phase I at Riverfront now called Dock 79; four, in-depth research into the feasibility of commencing pre-development activities for Phase II at Riverfront; and five, obtaining rezoning for our Hampstead property from industrial to residential in order to maximize the assets, profitability and expedite its disposition. We also received $1,115,000 as settlement for an easement related to the future construction of the new Frederick Douglass Bridge at the Anacostia property. Because of the operating losses and the depreciation during the lease up of Phase I or Dock 79 of Riverfront, equity loss of joint ventures of approximately $650,000 was incurred. Phase I pre-leasing activity for the 305 residential units commenced in late May and as of the end of October the residential units were 30.5% occupied and 42.3% leased, while retail units were 80% leased with just one space remaining. Also during the third quarter, we finalized our joint venture agreement with the St. John Properties Group for the development of our remaining acreage at Windlass Run Business Park. During the fourth quarter and going forward, the venture will jointly develop the combined properties into a multi building Business Park consisting of approximately 329,000 square feet of single-story office space. With final construction approvals expected this coming fall, land development and ultimately the commencement of the first phase of vertical construction is anticipated to begin in the spring of 2017. So in summary, we have a lot of exciting new projects in the queue and look forward to converting them into income production. Thank you. And I'll now turn the call back over to Tom.
Thompson Baker: Thank you, David. As David just showed we are pleased with our results and feel like we’re executing our plan to grow our earnings to turning non-revenue producing assets into revenue producing assets and taking advantage of opportunistic purchases of revenue producing assets. At the same time, our Mining Royalty business continues to show nice growth as volumes and pricing from our properties have continued to increase. We also remain hopeful that the new administration in Washington will follow through on their promise to rebuild our nation's crumbling infrastructure. To echo what David stated in his comments, our apartment venture in Washington, Dock 79 continues to progress nicely. As of November 13, we were 35% occupied and 43% leased, but a little ahead of our pro forma pace. We do have a very big task ahead of us in fiscal 2017 as we have an inordinate number of expiring leases and will need to find some new tenants. While we may take a step back in our Asset Management segment as we re-lease the expiring spaces. I am confident there will be only a short step back, our team will have us back to 90% plus occupied very quickly. Over the long-term, we remain excited about our future and our ability to grow shareholder value. We’ll be happy to entertain your questions at this time.
Operator: At this time, we will open the floor for questions. [Operator Instructions] The first question will come from Robert Henderson with Rutabaga Capital Management. Please go ahead.
Robert Henderson: Good morning. Could you tell us if you have any plans to consolidate Dock 79 in the near future or to change the way that's accounted for on your income statement in any way?
John Milton: John Milton here, Bob, good morning. Yes at stabilization the GAAP accounting rule will require us to consolidate that on our statements. And so just depends on when it's fully leased up and at that point could – we had pro forma that to occur this time next year, but we may get there sooner. But that will be the point at which we will take the debt owned to our balance sheet and also the other attributes of the joint venture.
Robert Henderson: Thank you very much. End of Q&A
Operator: Thank you for your question. [Operator Instructions] Well, sir, I am showing no further questions at this time.
Thompson Baker: We thank you for your interest and we look forward to speaking to you again at the end of our first quarter. Thank you all.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. You may now disconnect your lines.